Operator: Good morning. My name is Angie, and I will be your conference operator today. At this time, I would like to welcome everyone to The Hershey Company First Quarter 2011 Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Mr. Pogharian. Please go ahead, sir.
Mark Pogharian: Thank you, Angie. Good morning, ladies and gentlemen. Welcome to those of you on the line and on the webcast to The Hershey Company's First Quarter 2011 Conference Call. Dave West, President and CEO; and Bert Alfonso, Senior Vice President and CFO, will provide prepared remarks. And then both of them, along with J.P. Bilbrey, COO, and myself will answer any questions you may have during the Q&A session. Let me remind everyone that today's conference call may contain statements which are forward-looking. These statements are based on current expectations, which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements because of factors such as those listed in this morning's press release and in our 10-K for 2010 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website, www.thehersheycompany.com, in the Investor Relations section. Included in the press release is a consolidated balance sheet and a summary of consolidated statements of income prepared in accordance with GAAP. Within the Notes section of the press release, we have provided adjusted pro forma reconciliations of select income statement line items quantitatively reconciled to GAAP. As we've said within the Notes, the company uses these non-GAAP measures as key metrics for evaluating performance internally. These non-GAAP measures are not intended to replace the presentation of financial results, in accordance with GAAP. Rather, the company believes the presentation of earnings, excluding certain items, provides additional information to investors to facilitate the comparison of past and present operations. We will discuss our first quarter 2011 results, excluding net pretax charges that are related to the Project Next Century program. In the first quarter of 2011, these pretax charges were $9.7 million. Our discussion of any future projections will also exclude the impact of these net charges. Lastly, there are broader peers [ph] reporting this morning, and out to respect to them, as well as to the analysts and investors who want to participate in those calls, we ask that you limit yourself to 1 question. With that out of the way, let me now turn the call over to Dave West.
David West: Thanks, Mark. Good morning, everyone. Hershey's first quarter results were strong and I'm pleased with our performance. The investments we've made in our business over the last 2 years continue paying dividends, as core brands continue to perform well in the marketplace. Our advertising continues to resonate with consumers, and we are getting solid lift from our in-store selling, merchandising and programming. Our marketplace performance and strong start to the year give us confidence that we'll deliver on our 2011 financial objectives. I'd like to start by spending a moment on the pricing action announced on March 30. As you're all are aware, commodities market prices have been volatile, and we expect that volatility to continue in the coming months and quarters. Prices for many of the primary and secondary commodities we use in our products have increased year-over-year and since our last conference call. While we can hedge our future needs on most of our primary inputs, there are numerous secondary inputs where there is not a developed futures market. Given category dynamics related to the pricing flow-through and the view of our future cost profile, a price increase was necessary to protect our margins. This action was effective immediately on March 30. However, during the 4-week period ending April 22, existing customers were allowed, based on historic order patterns, to order up to 8 weeks of inventory at the previous price, if delivery occurs by May 20. As expected, some of our retail customers have ordered product under this scenario. Prior to the increase as Q1 progressed, we saw a shift in order patterns by some customers, who chose to carry slightly greater levels of inventory in the first quarter. Given broad-based upward inflationary pressure in many food and packaged goods categories, we suspect they were carrying additional inventory in anticipation of a potential price increase. We estimate that about 1.5 points of net sales growth in the first quarter was attributable to volume, which normally would have shipped in the second quarter. Given the relative sizes of Q1 and Q2, that will likely result in about 1.5% less revenue in Q2 as inventories normalize. Also recall that we do not expect seasonal net price realization until Easter 2012. Additionally, the majority of nonseasonal merchandising will be offered at previous promoted prices through much of the third quarter of 2011. We therefore expect a higher Q2 trade promotion rate, which will further dampen revenue. Consumers are starting to see higher everyday prices, primarily on instant consumables and on in-aisle, nonmerchandised take-home items. As such, we expect an initial price elasticity impact to result in lower volumes over the remainder of the year and into 2012. Therefore, we do not expect this action to materially impact our financial results this year. While it's a bit early to measure consumer reaction in response to the pricing action, we feel that our brand support, innovation, consumer spending and investment and go-to-market capabilities will enable us to deliver on our full year net sales objectives, which remains around the top of our long-term 3% to 5% range. Overall, the confectionery category continues to perform well, as recent gains have been within the category's historical growth rate. Investments in the category in the form of advertising and innovation are present for most major manufacturers. Given the high household penetration and the impulsive nature of the category, as well as affordable price points, we believe retailers and consumers will continue to value the confectionery category. As a result, we would expect the category to consistently secure key merchandising and programming space, even as price points may rise. We're satisfied with our performance and customer relationships in all channels, measured and nonmeasured. In fact, at 1 of our largest customers, we recently secured the advisorship for category captaincy for the entire front end. This includes not only candy, mint and gum, but all general merchandise. In the first quarter, Hershey's net sales increased 11.1%. Bert will provide you with additional details, but the growth was primarily driven by volume. Core brands, on both in everyday and seasonal basis, grew in line with our expectations. New product performance and pipeline fill was solid and contributed nearly 3 points to growth. We also benefited from a longer Easter season. Recall in 2011, Easter occurred on April 24, and in 2010, on April 4. Therefore, the timing of Easter obviously has and will impact IRI and Nielsen data related to the March and April periods. Preliminary analysis of Easter data indicates that we had a good season and that Hershey's sell-through will be solid. Our results were driven by Easter specific advertising, including both the Reester and Cadbury Clucking Bunnies, as well as our sponsorship of the blockbuster Easter-themed movie, Hop. Easter timing aside, Hershey's marketplace performance was solid. CMG, that's candy, mint and gum, retail takeaways for the 12 weeks ending March 19 for our custom-based database in channels that account for over 80% of our retail business. So as a reminder, the channels here are food, drug, mass, including Walmart, and convenience stores, we increased 3.7%, a very respectable growth rate, despite the impact of Easter timing. Excluding Easter seasonal activity in both the current and year-ago period, a better yet still imperfect measure, our retail takeaway was up 6.7%. Perhaps the easiest way to assess performance given seasonal timing and therefore, all the noise in the data is by looking at absolute market share results. We gained market share, both with and without the Easter seasonal activity. All-in, including the seasonal activity, Hershey's CMG market share in FDMxC increased 0.5 points for the 12 weeks ended March 19. I'm also pleased with the overall category performance in the first quarter. For the 12 weeks ended March 19, FDMxC category growth, excluding seasonal activity in both the current and year-ago period, was up 5%, greater than historical category growth rate of 3% to 4%. First quarter food class-of-trade CMG growth again, excluding seasonal activity in both the current and year-ago periods, was up 4.7%. Hershey's food class-of-trade retail takeaway in the first quarter was up 2.5%, resulting in a market share decline in the food class-of-trade of 0.6 points. Although down, our performance in food sequentially improved, as we exited the quarter, as we rolled out Hershey's Drops and Reese's Minis. Also note that Hershey's Syrup performed solidly in food class-of-trade in response to our new advertising. However, the success of this brand is not included in CMG results. In this Easter class-of-trade, where the Easter impacts are minimal, the CMG category was up 4.9%. Total Easter performance for Hershey was particularly strong with takeaway up 10.2%, resulting in a share gain of 1.4 points. These gains were driven by core brand advertising, in-store selling, merchandising and programming, including our successful promotional tie-in with the NCAA March Madness basketball tournament. This Easter class-of-trade also benefited from the king-sized pack-type launch of Hershey's Drops and Reese's Minis. In the drug class-of-trade, our performance sequentially improved from Q4 to Q1. While some of it was due to easier year-over-year comps, we do feel that it validates the Insights Driven Performance or IDP work that we started. Drug class-of-trade CMG category growth, excluding seasonal activity in both the current and year-ago periods, was within historical growth rate for the category. Hershey Q1 drug class-of-trade retail takeaway, again excluding the seasonal activity in both periods, was up 14.3%, resulting in a market share gain of 1.3 points. As we look to the remainder of the year, we have many exciting products, promotions, programs and merchandising in place across all channels, including a sponsorship to the upcoming Green Lantern movie, a Twizzler summer landmark program, where families win a trip to the American landmark of their choice and the June launch of Hershey's Air Delight, in both in instant consumable bar and Hershey's Kisses format. We're also on track to increase full year advertising expense for the total company mid-single-digits on a percentage basis versus last year, supporting new product launches and core brands, in both the U.S. and international markets. Advertising was up about 30% in Q1, supporting the launch of Hershey's Drops and Reese's Minis, new advertising campaigns on Hershey's Syrup and PayDay and a longer Easter selling season. We expect advertising to increase mid-single-digits in Q2 and Q3 and then decline in Q4, as we lap the step-up investment that occurred in many markets in last year's fourth quarter. During 2011, in the U.S., we'll leverage our core competencies and the infrastructure investments we've made in the business over the last couple of years. We would therefore expect a year-over-year percentage increase related to other SM&A expenses to be at a rate lower than sales growth. However, in a few key emerging markets such as China, this investment will be up double-digits on a percentage basis in 2011, as we add selling capabilities in points of distribution and increase the level of sampling and brand support to drive brand awareness and trial in these markets. We'll also continue to advance our IDP work in the U.S. I'm pleased with the way the confectionery category in Hershey's continue to perform. As we look to the remainder of the year, recall that we do not expect seasonal net price realization until Easter of 2012. Additionally, previously agreed-upon merchandise price points are essentially in place on nonseasonal items well into the third quarter. However, consumers are seeing higher everyday prices on nonmerchandised items. Therefore, we do expect this portion of our business to experience a volume decline over the remainder of the year. In the coming months and quarters, we'll monitor consumer behavior and purchasing patterns and will work with our retail customers to ensure that the implementation of the price increase is supported with customer trade promotion and merchandising that continues to grow the category. While the category has remained resilient, the health of the U.S. consumer remains fragile. There are many external factors that CPG manufacturers can't control that can impact consumer purchasing power, psyche and sentiment. While we believe pricing and volume elasticity now is a core competency of The Hershey Company, we can't predict future events that may occur and impact our elasticity assumptions. However, we are confident in our merchandising, programming, new products and the quality of our advertising. Commodity markets remain volatile. However, we have visibility into our cost structure. While we anticipate meaningfully higher input costs in 2011, productivity and cost-savings initiatives are in place. And at this time, we estimate that full year 2011 adjusted gross margin will be about the same as last year. We'll leverage the investments in our brands and go-to-market capabilities that we made over the past few years. As a result, we expect full year 2011 net sales growth, including the impact of foreign currency exchange rates and adjusted earnings per share diluted growth to be around the top of the company's long-term 3% to 5% and 6% to 8% objectives. I'll now turn it over to Bert Alfonso, who will provide some additional details on our financial results.
Humberto Alfonso: Thank you, Dave, and good morning, everyone. First quarter business results were solid, with consolidated net sales of $1.56 billion, up 11.1% versus the prior year, generating adjusted earnings per share diluted of $0.72, up 12.5%. The earnings per share increase was driven by higher net sales, manufacturing efficiencies and SM&A leverage, partially offset by year-over-year increases in commodity costs and advertising spending. First quarter sales gains were driven primarily by volume. Several factors contributed to the volume gains, which includes strong sales of core brands, driven by our continued investments; successful distribution and launch of new products, including pipeline fill, which contributed about 3 points of growth; a seasonal shift in volume from the fourth quarter of 2010 and to the first quarter of 2011; a longer Easter season enabling us to build on our #1 seasonal share position; and a shipment order patterns by some customers who chose to carry slightly greater levels of inventory that we estimate was about 1.5 point benefit in the quarter. We would expect this Q1 benefit to reverse in Q2. And finally, foreign currency exchange rates were less than 1 point benefit in the quarter. Turning now to margins. In the first quarter, adjusted gross margin increased 20 basis points, driven by supply chain efficiencies partly related to fixed cost absorption, as volume was greater than year-ago levels, and higher levels of productivity, both normal and incremental, as we discussed at CAGNY. These margin gains are partially offset by significantly higher input costs of about $33 million. Commodity market spot prices have been volatile, and we expect that volatility to continue in the coming months. We now estimate that our year-over-year commodity cost increase will be greater than our initial forecast. Nevertheless, as previously stated, we have visibility into our cost structure, and despite these increases, we expect 2011 adjusted gross margin to be about the same as last year. Our adjusted gross margin improvement was the primary contributor to growth and adjusted EBIT of 13% or 30 basis points. And as we communicated last quarter, SM&A, excluding advertising, is expected to grow at a rate less than sales in 2011. SM&A x advertising decreased 120 basis points versus last in Q1, offsetting a portion of these gains were higher advertising are about 30%, higher play-related costs and higher legal and other administrative expenses. As we have mentioned, we estimate 2011 advertising expense will increase mid-single-digits on a percentage basis versus last year. Over the remainder of the year, we expect advertising to increase mid-single-digits in Q2 and Q3, and then decline in Q4, as we lap the step-up investment that occurred in late 2010. Now let me provide an update on our international businesses. On a reported and constant currency basis, our international net sales increased double-digits on a percentage basis versus last year. Growth was especially strong in targeted markets such as Mexico, China and Brazil. We're very excited about our businesses outside of the U.S. and Canada and are on pace to achieve over $1 billion net sales in our international markets by 2015. We continue to make the planned investments and necessary investments in these growth markets during the first quarter of this year. Moving down to P&L. For the quarter, interest expense increased, coming in at $24.5 million versus $23.7 million last year. In 2011, we expect interest expense to be approximately $95 million to $100 million for the full year. The tax rate for the first quarter was 36.5%, slightly higher than last year due to the timing of certain tax events. Excluding tax rate impacts associated with business realignment and impairment charges, we continue to expect the full year tax rate to be about 35%. Over the remainder of 2011, the tax rate Q2 will be about the same as Q1 and about 34% in the second half of the year. In the first quarter of 2011, weighted average shares outstanding on a diluted basis were 230.2 million versus approximately 229.6 million shares in 2010, leading to adjusted EPS diluted of $0.72. Now turning to the balance sheet and cash flow. At the end of the first quarter, net trading capital decreased versus last year's first quarter by $11 million. Accounts receivable was up $22 million and remains extremely current. The year-over-year increase is a direct result of Easter timing. Inventory increased $54 million due to finished goods increases in anticipation of customer buy-ins resulting from the March 30 price increase, the build of inventory related to our upcoming launch of Hershey's Air Delight and preparation for the gradual move of production into our expanded West Hershey manufacturing facility as part of Next Century. And lastly, accounts payable increased to $87 million. In terms of other specific cash flow items, total company capital additions, including software, were $82 million in Q1. These amounts included Project Next Century capital expenditures of $24 million. In 2011, we expect ongoing CapEx to be within our previously communicated guidance of $150 million to $160 million, excluding Project Next Century. Capital additions are expected to be an additional $180 million to $190 million for Project Next Century, making our total 2011 CapEx estimate $330 million to $350 million. Note that the total CapEx for Project Next Century remains within our initially communicated range of $250 million to $300 million. Depreciation and amortization was $51 million in the first quarter. This includes accelerated depreciation related to Project Next Century of about $6.5 million. Adjusted operating depreciation and amortization was $45 million in the quarter. In 2011, we are forecasting total operating depreciation and amortization of about $165 -- $185 million for the full year. Dividends paid during the quarter were $77 million. The company repurchased $100 million of outstanding shares remaining on the $250 million repurchase authorization that was approved in December of 2006. Additionally, we repurchased 93 million of our common shares to replace shares issued in connection with exercised stock options. All $193 million of acquired shares were repurchased in the open market. As noted in this morning's press release, the Board of Directors approved a new $250 million authorization to repurchase shares of common stock. The repurchases may take place from time-to-time, depending on market conditions. This authorization is in addition to the company's policy of repurchasing shares in the open market related to issues in connection with stock option exercises. As we look to the future, our financial position allows us to be flexible in our approach in creating value for all shareholders. Cash on hand at the end of the first quarter was $752 million, down $132 million versus year end. As it relates to our short-term cash needs, the company is currently well positioned to manage capital needs of the business, as well as higher capital expenditure requirements due to Project Next Century. Our cash flow continues to be strong and will improve as we grow earnings. Let me now provide an update on the Project Next Century program. I am pleased to confirm that the West Hershey plant expansion remains on track. We expect the new facility to be on the roof by the end of the second quarter of 2011, with the first major equipment deliveries scheduled for third quarter of 2011. We anticipate initial production to start up during the fourth quarter and continue implementation during 2012. During the first quarter, pretax GAAP charges related to the program totaled $10 million, with the majority related to accelerated depreciation. These charges reduced Q1 earnings per share diluted by $0.02. The forecast for total project pretax GAAP charges and nonrecurring project implementation costs remains at $140 million to $170 million. By 2014, we continue to expect ongoing annual savings to be $60 million to $80 million. Please see the Appendix 1 in today's press release for a detailed summary of Project Next Century by year and by line item. Now to summarize. In 2011, our goal is to maintain our current marketplace momentum. To do this, we'll continue to invest in our brands and businesses in both the U.S. and international markets. We'll focus our efforts on advertising, which we expect will be up mid-single digits in 2011, as well as consumer insights and brand-building initiatives that should enable the category and Hershey to grow this year and into 2012. Because of the U.S. price increase, we expect volumes to decline over the remainder of the year. In the upcoming months and quarters, we will partner with our retail customers to ensure that the implementation of the price increase is supported with appropriate levels of trade promotion and merchandising. Despite this decline in volume, we still expect full year 2011 net sales, including the impact of foreign currency exchange to be around the top of the company's long-term 3% to 5% objective. Commodity markets remain volatile. However, we have visibility into our cost structure in 2011. And while we anticipate meaningfully higher input cost this year, productivity and cost-saving initiatives are in place, and we expect full year adjusted gross margins to be about the same as last year. During 2011, we will leverage our infrastructure investments made over the last few years and expect year-over-year percentage increase related to SM&A expense, excluding advertising, to be at a rate lower than sales growth. As a result, we expect full year 2011 earnings per share diluted growth to be around the top of the company's long-term 6% to 8% objective. Before we go to Q&A, and as you work your models, note there are many moving parts over the remainder of the year that we discussed this morning. Specifically, prior to the March 30 pricing announcement, we saw a shift in order patterns by some customers who chose to carry slightly higher levels of inventory in Q1. This Q1 benefit to net sales is about 1.5 points and will negatively affect Q2. Due to pricing elasticity beginning in Q2, we expect a higher trade promotion rate to reduce revenue. Per our policy, existing customers can take receipt of up to 8 weeks of inventory of previous price points if delivery occurs by May 20. Due to the aforementioned nuances, we would expect volume in Q2 to be lower a year ago, pressuring adjusted gross and EBIT margins. While commodity costs remain volatile and will be meaningfully higher in 2011 versus 2010, we expect adjusted gross margins to be about the same as last year. Advertising, which was up 30% in Q1, will be up mid-single-digits in Q2 and Q3, but lower in Q4, with a roughly 85% higher advertising investment in the fourth quarter of 2010 versus 2009. And finally, our Q2 tax rate will be about the same as Q1 and about 34% in the second half of the year, while our full year outlook remains at about 35%. With that out of the way, let's open it up for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Eric Katzman with Deutsche Bank.
Eric Katzman - Deutsche Bank AG: I guess, my question has to do with the quarter's results to the extent that you had such stronger top line, certainly well above what we were thinking, and it sounds like it was above even what you were thinking, but there really wasn't that much leverage to the gross margin side of things or even the EBIT margin. I guess, the advertising explains the EBIT side of it. But how do we think about the first quarter performance and the lack of leverage to the gross margin and kind of how that affects the quarterly flow for the rest of this year?
David West: Thanks, Eric. With respect to the first quarter revenue, net sales, up about 11%, we were expecting very high single-digits ourselves. So we're only a few points really above where we would've expected to be. And as I think with both Bert and I have said, some that is inventory that kind of shifted into the first quarter from the second quarter. So we're fairly much in line with what we expected to see, and the growth is basically volume-oriented and it's roughly 1/3 seasonal, 1/3 core and 1/3 new items. So pretty broad-based across the board. We did have materially higher commodity costs in the first quarter, that's going to be the case throughout the rest of the year. And so the adjusted gross margin picture of about flat is -- plus or minus flat is consistent with what we've been saying. So we did not expect to see a whole lot of leverage through the P&L. And the advertising spending as you noted was higher. I think as you go forward, as Bert just pointed out some of the nuances in modeling, you'll see advertising spending more moderate in the second and third quarters, up in the mid-single-digits and then a decline in the fourth. And we would expect to see that cost and gross margin picture kind of maintained. So I think what you see here in the first quarter, a strong first quarter start, although really not that unexpected to us. But then as you look at the rest of the year, given as you'll start to see elasticity kind of moderate and flow into the business a little bit here, that the model is pretty consistent with what we've been telling you all the way along. And I think we're very pleased with the momentum in the business, 6.7% takeaway, FDMxCW for the first quarter, which is an acceleration coming out of the fourth. I think that's the most important thing for us is it's broad-based and we're very pleased with it.
Eric Katzman - Deutsche Bank AG: Okay, I'll pass it on. Thank you.
Operator: Your next question comes from the line of Alexia Howard with Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., Inc.: Just wanted to ask about the situation in the convenience store parts of trade. Your performance this quarter was obviously very strong. If I remember rightly, the last time that gas prices spiked up to these kind of levels, spending on nongas items at the C-store was crowded out by those high gas prices. Is this happening again? And if it's not happening this time, do you have any views as to why it's not happening this time?
David West: Yes, I think the real tell in quarter and/or period -- or not the quarter, but the period will be the summer drive season, when you tend to see a lot more driving miles and folks out on the road on vacation. If you'll recall, we're basically almost 3 consecutive years now of share gains. We have Drops and Minis in the king-size format, the Hershey's Drops and Reese's Minis launched, which I think will help us create news and continue to merchandise. Overall, traffic still feels reasonably good to us. Our business in the category is up. I mean, we had a great 10-plus percent tax takeaway. But I think if you think about certainly where we are from a confectionery standpoint, the last time you saw this spike, we had much better merchandising and selling capability in the convenience stores. I think we've got better innovation than we did then in terms of -- we were actually pulling back on innovation when that happened. So we look at the Reese's Minis and the Hershey's Drops, as well as our merchandising capability, we think it'll carry us through that period. So we obviously are watching it the same way everybody else is, though the consumer -- really, the consumer period will tell us a lot more is in the summer.
Alexia Howard - Sanford C. Bernstein & Co., Inc.: Great. Thank you very much. I'll pass it on.
Operator: Your next question comes from the line of Terry Bivens with JPMorgan.
Terry Bivens - JP Morgan Chase & Co: Dave, just in terms of your allocation of capital, clearly, you've got a bigger share repurchase here. But if you look at the numbers, it doesn't get you all that much accretion. So I'm just kind of wondering, obviously 1 of the big issues on Hershey is what you're going to do with that balance sheet firepower. Could you just give us an indication of how you're thinking about that right now?
David West: Yes. Our thought process, Terry, hasn't really changed, it's pretty consistent. We've always talked about 1 of our larger cash needs this year is Project Next Century and the investment that we're making in the new facility here in Hershey, Pennsylvania. So that cash, as well as the inventory build and the capital associated with that, is something that is very short-term that we're dealing with. We did increase the dividend in January. We repurchased $100 million on the old 2006 authorization in the quarter and have paid almost another $100 million with respect to the options replenishments. We do have a bond note that comes due later on in the year that we'll be dealing with as well with respect to the capital structure. And then we've always talked about share buybacks as a lever in our capital structure dialogue as a way of returning cash to shareholders. We did some of that obviously here in the first quarter, if you will reload it to do that going forward. So I don't think we've really changed what we've been saying. And M&A, certainly, bolt-on kind of acquisitions, which we think makes sense for us, as we grow our global footprint, still remains a high priority. So it's all about balance and flexibility, and I think we, certainly in the first quarter, between the dividend increase and the buybacks, have demonstrated that.
Terry Bivens - JP Morgan Chase & Co: Okay. Thank you very much.
Operator: Your next question comes from the line of Judy Hong with Goldman Sachs.
Judy Hong - Goldman Sachs Group Inc.: Couple of questions on the input costs. I think you called out that your input costs are coming in higher than you initially anticipated. So first, is there any way to quantify how much higher you're looking at your input cost increases this year? And then how much it really hit first quarter, just in terms of the phasing of the input costs on your P&L? And then thirdly, just 1 of the key inputs, peanut costs seem to be soaring here. So if you can give us any color in terms of what you're looking at, as far as the pricing outlook on peanuts is concerned and then how your supply situation is on that commodity?
Humberto Alfonso: Sure. In terms of commodity costs -- and you're right, we mentioned that they're a little bit higher than we anticipated when we would have been on the fourth quarter call. In the first quarter -- I mentioned higher commodities was about $33 million. And in terms of the impact, we had pretty good productivity against those and because it was a high-volume quarter, we also had an absorption benefit, which as Dave mentioned, we're a little bit higher on volume in the quarter. Most of it really, the 1.5 points that we talked about, on slightly higher inventories, but we expected high volume. And so there was a pretty big offset, I would say, from the volume and the productivity programs against those commodity cost increases. Going forward, we'll see a little bit more impact, I think, as volume comes off a bit, even a little bit as it relates to the price increase. And commodities have continued to rise a little bit more. Dairy, in particular is one that we've seen increases in the first quarter. So while we don't provide a specific number in terms of guidance around the total increase, I would tell you that commodities were up in the first quarter, pretty much a lot of it muted by the higher volumes and the productivity program, and then it will be a little bit less so going forward to some degree because of the lower elasticity on volume that we're anticipating after the price increase. Your question on peanuts. You're right, peanuts are very high. For us, I think that's more of a future issue versus a current year issue.
Judy Hong - Goldman Sachs Group Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Chris Growe with Stifel, Nicolaus.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Just had a question for you, in relation to the price realization that you're going to start to see, I guess, really kind of in the third quarter, I guess, I just wanted to get a better sense if we could as to like, is it percentage of customers that bought forward? Or I guess, I started modeling some pricing kind of midway through the third quarter. Is that a realistic assumption the way you see it today, especially on the instant consumable-type products?
David West: You get no seasonal price realization at all. So if you think about the second half of the year, the size of the Halloween and the holiday seasonal business, and even into Valentine's of early next year, you don't get price realization on that portion of our portfolio until Easter of next year. You will see the shelf price on instant consumables has moved up fairly quickly. It usually does move fairly quickly. And you'll start to see elasticity effects on the stuff that's moving at regular price on the shelf on the instant consumable part of the business already. And then really, on promoted, everyday promoted business, for the most part, as you work through with the customers, we've already programmed out through, let's call it, September. So roughly that timeframe. And so we'll honor the previous promoted prices and the programming at the previous promoted prices for the most part. So really, I think you're thinking about it correctly that you would start to see some realization maybe a little bit on the instant consumable part of the business right away, but not really until you get out into that September, October timeframe. So it really is a -- the second quarter is largely a volume-driven quarter as well here.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: So you have to get past -- I guess, there would be some price realization in certain weeks or periods where you do not promote. But other than that, it's really Q4 then when that really starts to come through in instant consumables, correct?
David West: Well, you'll start to see some of it now. But for the most part, because of the way the category works with the seasonal business and the way we plan it out because of the merchandising intensity of the category, it takes us a while to get the price increase through. And that's why we continue to say it's really a 2012 event for us, in terms of the realization of this. The bit of realization that we get in 2011 really offsets some of those kind of secondary inputs that we can't hedge forward on, where we're seeing some price inflation on those, certainly in the last 3 to 6 months. And so those 2 things kind of offset each other.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay, that's very helpful. Thank you.
Operator: Question comes from the line of Andrew Lazar with Barclays Capital.
Andrew Lazar - Barclays Capital: Just a quick clarification, if I may. I think you said earlier that you'd expect volume to be down year-over-year for the remainder of the year. Was that just on the piece of the business that you just spoke of, like instant consumable piece of it? But overall, your seasonal business obviously doesn't get impacted by the pricing until next year. So I assume on that piece, which is a very large piece, do you still expect reasonably strong volume through the year? Maybe a little help on clarifying that.
David West: Yes, I think if you look at the first quarter -- let me make sure of that to be clear. The first quarter volume increases was up double-digits, so we won't expect to see double-digit volume the rest of the year. You will -- the seasonal business in the back half of the year is again, doesn't really get affected. So you're right, we would expect to see year-over-year volume growth in the seasonal part of the business, and then you'll start to see everyday instant consumables tail off in terms of volumes fairly quickly because that's already been priced. And then you don't see the rest of the everyday part of the portfolio really start to get impacted until you get out into the latter part of the year, September on. So overall, you're right, there's a blending of volume across those pieces of the portfolio.
Andrew Lazar - Barclays Capital: Okay. And your elasticity assumptions, like relative to '08, I guess, is there any reason to think they'll be meaningfully different in one way or another? Or just based on, I don't know, different consumer environment or anything else you're seeing or generally you think about it the same way?
David West: Actually, they may wind up -- we actually do it by brand, by pack, by class-of-trade on some level in terms of the way we think about elasticity. So they will be -- if they're actually the same as '08, it'll just be dumb luck. There's so many things that are different versus the last time we did this. Our brand strength is much greater than it was, if you think about the advertising that we put in the business since then. I think our retail sales force is much more effective at selling and merchandising, so that's a strength. I think the chances are that as you take this kind of new increase, you might cross a decile [ph] here or there that you didn't the last time is another factor that's put in there. I think the biggest factor for us is just consumer sentiment and the fact that the inflationary environment is broad-based across a number of categories. And so I do think that -- I think you'll see -- I think that's why it's going to be much more important to think about and watch carefully what's happening in other categories and the size of the basket, and especially fuel as a part of it as well. I mean, we talk about core inflation, but the average consumer out there for our product in the mainstream part of the portfolio is feeling food and fuel pretty significantly, and we'll watch it carefully. But I think it will be different. And remember, the last time we did the price increase, it was a fall price increase, this is a spring price increase. So the seasonal impacts are a little different, too.
Andrew Lazar - Barclays Capital: Great. Now that's very helpful. Thanks a lot.
Operator: Your next question comes from the line of Bryan Spillane with Bank of America.
Bryan Spillane - BofA Merrill Lynch: Just a follow-up on the phasing to really make sure I understand this correctly. In the second quarter, you're going to expect revenues to decline because you'll have some of the seasonal impact on volumes plus there's trade promotions. Gross margins will also, I guess, decline year-on-year because you won't have as much -- because of the increased trade promotions. So I guess, if I'm hearing that correctly, earnings could actually be down year-on-year in the second quarter but then up in the fourth quarter more because you're going to spend less on advertising. Is that, at least, directionally the right way to think about it, kind of shifting from 2Q to 4Q?
David West: I think if you think about Q2, 1 of the big factors, obviously, is as you see a little bit more trade promotion in Q2, as we spend on a rate basis, as we spend back to honor some of the previously agreed-to promotional price points. You'll also remember, we had 1.5 point of volume that kind of came out in Q2 and wound up in Q1. So Q2 will be somewhat pressured. But also remember Q2 is largely instant consumable quarter and therefore, it's a reasonably good quarter for us and we have decent momentum. But Q2 will bear some pressure here because of those factors. And then when you get out in Q4, obviously, we had a huge move in our investment in the fourth quarter last year. And so I think you're right, when you get down into the SM&A, you get a lot more leverage in the fourth quarter coming up. But I think you're thinking about the parts right in terms of what's moving around. I think we had a good Q2 a year ago. I think we were up a little bit over 5% on a net sales basis, so there's some moving parts off of that. And remember, we have Drops and Minis and some other things that are in the numbers. But overall, I think you got it right.
Bryan Spillane - BofA Merrill Lynch: Okay, great. Thank you.
Operator: Your next question comes from the line of David Palmer with UBS.
David Palmer - UBS Investment Bank: I just wanted to talk a little bit about consumption because you had a plus 7 or so number there, multichannel takeaway. It looks like your base trends are fantastic. So I mean, there's a lot of noise here around the volume and the pricing. But from a consumption standpoint, from an innovation standpoint, it really does look like the bed is made for strong takeaway trends all year. How are you thinking about that? Are you really, in effect, trying to play conservative as you think about repeat levels, see how these products play out all year, as you think about gas prices and the C-store channel? How are you thinking about ongoing consumptions? Thanks.
David West: Yes, a good question. I think 1 of the things you do have to remember is the second half of the year seasonally, it's got a Halloween and holiday in it, and we wouldn't expect to ship -- our takeaway in the first quarter, FDMxCW, 6.7%. We wouldn't expect to ship 6% to 7% more holiday and Halloween into the retail customers in the back half of the year. So there's a natural moderation because of the seasonal component of the business in the back half. That said, we're very pleased with the programming, the strength of the business. We were up 6.2% takeaway all-in in those FDMxCW [ph] channels in the fourth quarter that accelerated to 6.7%. It's broad-based, it's base brand, it's new product. Some of it, international. So we feel good about the business. That said, it's a difficult environment for the consumer. It's a very inflationary environment. And we haven't sold, case one, really at a new price point yet. So I think we need to be prudent about how we think about the year. And with that seasonal mix coming in, there'll be a natural moderation to that top line trend.
David Palmer - UBS Investment Bank: Okay, thank you very much.
David West: Thank you.
Operator: Comes from the line of Ken Zaslow with BMO Capital Markets.
Kenneth Zaslow - BMO Capital Markets U.S.: The last question has obviously been asked about the pricing. So instead of that, the new product innovation, can you talk about your successes right now? What are you seeing in the new products, the Drops? Also, you obviously increased your advertising behind PayDay, you didn't say anything about that. Just can you take it to some of the new products and what you're seeing in terms of success and if you're getting a payback on some of your advertising spend besides Hershey's Syrup?
David West: I'll let J.P. Bilbrey take that one.
John Bilbrey: Yes, we feel good about the progress that we're making on both Drops and Minis. And 1 of the measures that we look at is as we take some of our previous introductions -- and I'll use Pieces as an example, we're able to get these 2 launches into distribution faster, so the distribution build has been faster. And then the other thing that we're very pleased about is the takeaway and the repeat is also meeting and exceeding our expectations. So we feel like we're off to a really good start on both of those. Let me just follow-up on your PayDay question as well. As you look at the increased advertising, it was in Q1. Part of the reflection of that is some things that we added in terms of additional brands that would have been in the previous quarter. PayDay was certainly 1 of those. And so PayDay, Almond Joy, Mounds, all of those brands are responding very nicely to the advertising that we've added. And then we also feel good about the upcoming Air Delight introduction that we have in June. Retailers have responded very positively to that. We feel good about the programming that's in place. And that's also a new format for us, as well as the category. And so we're optimistic there as well.
Kenneth Zaslow - BMO Capital Markets U.S.: And what white space does that kind of, the new product, the Air Delight, actually fill for you guys that you're thinking that you don't have?
John Bilbrey: Well, there's really 2 places for it. It'll be available in Kisses, so it's an innovation on Kisses. And if you remember in Kisses, we've been working on really rebalancing and rationalizing our portfolio there. We've been investing in advertising in Kisses, and we really haven't had an innovation like that. So Air Delight will be a new variant on Kisses that we're optimistic there. And then in the instant consumable space, with Air Delight, it gives consumers another way to enjoy the Hershey brand in a total different taste and mouth texture profile. So we think the positioning of that will be unique enough that we're again optimistic. And you recall, 1 of the things that we talked about is our discipline around innovation. And so we feel very good about the time and consumer inside work that we're doing on these. And so while we may have fewer innovations, they are bigger and better and more sustainable than we've had in the past. And that's certainly coming through with Minis and Drops.
Kenneth Zaslow - BMO Capital Markets U.S.: Great. Thank you very much.
Operator: Your next question comes from the line of Rob Moskow with Credit Suisse.
Robert Moskow - Crédit Suisse AG: Thank you. I wanted to ask about the IDP program. It's been a huge success in drug, up 14% in the quarter. And I think what your plan is, is to start marketing that strategy to food stores. When do you start doing that? And when can we start seeing the benefits of that? Thanks.
John Bilbrey: Well, you probably see most of the benefit for us more as we move to 2012 and 2013. We've done some early work with several of our retail partners, which is yielding some really good results. Drug was certainly 1 of the places where we went and really changed the dialogue with our customers in drug, around how we try to look more at a consumer-centric approach and really working with them on shopper insights. And so the combination of really being able to take our consumer data, their shopper insights has enabled us to have a different type of dialogue. And I would describe that part of our relationship historically has been more transactional in nature, and what's really changed now is it's more long-term collaborative business planning over several years. So as we make substantial investments in their shoppers, our consumers, it just really enables us to look at the total story differently than the role of our category within the store. It's really been a positive thing for us and the successes that we've had, we need to roll out. This also probably will be focused for us on, call it, a handful of customers, as we go forward because part of it is you have to be able to have the commitment on the retailers side and the resources to go up against it. But early indications are that this is a real step forward for our company.
Robert Moskow - Crédit Suisse AG: John, do you have kind of commitments from a handful of customers now to kind of start collecting the data?
John Bilbrey: Yes, we do. We're well on our way in being able to integrate retailer data with our data. And also working in some instances with syndicated data and third parties to build some unique systems that allow us to look at the business differently than we had before. And this is really in the interest of the industry to be able to find ways to take this data and mine it in a much deeper way than we had before. So at any rate, it takes time, it's a long-term commitment, where we've been able to work with some of our most sophisticated retailers. They're as excited about it as we are, so I think this is a great opportunity. We've talked a lot about being more brand- and consumer-centric, and this is essentially central to us, being able to deliver against that.
Robert Moskow - Crédit Suisse AG: Thank you very much.
Operator: Your next question comes from the line of Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley: Maybe on last question on the pricing. Could you talk a little bit to the extent that you are aware, the competitive activity? Or has your large competitor matched your efforts or anything you're for the channel?
David West: I think our pricing model is specific to what we want to do on our portfolio. The line pricing nature of the category, I think, that on some level is going to take place and has started to take place. I think the retailers, generally once they see it, anyone in the category move, they generally move up. So I think you've seen the retailers start that initiative. We feel good about what we've done for our business. Remember, our business has a larger seasonal component than probably anybody else has in the category, as we're the share leader there. So I think what we've done is specific to what we wanted to do for our business. And I think overall, across the category, prices are kind of moving up, but not everybody is doing the same thing. But we're happy with what we've done.
Vincent Andrews - Morgan Stanley: Okay. Thank you very much.
Operator: Your next question comes from the line of Erin Lash with Morningstar.
Erin Lash - Morningstar Inc.: I was hoping you could talk about -- well, provide some additional details about the recent announcement that you're leveraging your relationship with Walmart over in the U.K. And whether there are additional opportunities to expand that further globally?
David West: Yes, we have some product in Asda that we launched in the Asda stores. Walmart has a program, a global brand program. We've also been in several other markets or will be in several other markets with them in South America and in Asia. I think it's not appropriate for me to comment on what Walmart's potential plans are in the future. What I would tell you is as part of their global brand initiative, it's very opportunistic for us to play with them as they go into markets and have strength in some new core markets for us. We're very pleased with how it's gone. I think what it really shows from our standpoint is how flexible we would like to be and can be. It's very small to us. It's not material, but I think it's more important for us to demonstrate that our brands can play in a number of markets around the world and that we're flexible enough to make it work. And we're happy with the relationship with Walmart.
Erin Lash - Morningstar Inc.: Okay thank you very much. That's helpful.
Operator: Your next question comes from the line of David Driscoll with Citi Investment and Research.
David Driscoll - Citigroup Inc: Just a couple of odds and ends that I was hoping to kind of plug into my model, of which you guys have already said. You talked a lot about the quarterly shift from 2Q '11 to 1Q '11. But you didn't mention the fact that, I believe, there was a 4Q '10 shift into 1Q. How much was that shift? And then pricing also in the quarter, I think that was roughly 0. Can you confirm that? To J.P. on Reese's Minis, is it too aggressive to think that this is going to be a $100 million product this year? And then final question, ad spending is up 5%, but there's been a ton of shifting in the medium mix model. And so I'm thinking that GRPs are going to be up significantly more than that. Can you just comment on that? Thank you.
David West: You rattled us up, David. I'm not sure -- I hope somebody here in the room is writing it down. Let me try. Yes, there was a little bit of -- if you remember, a little bit of seasonal shift out of Q4 into Q1. Order patterns were different and Easter was a little later. So when we talked about seasonal volume being up roughly 1/3 of our volume growth, that's embedded in that number already. So a couple of points probably out of fourth quarter into first, which is consistent with what we would've expected. I'll answer for J.P. He's not going to tell you how big he thinks the Reese's Minis business can be. What he has already said is just how strong we're off to good start and how consumers are responding to it and it is exceeding our initial expectations. And so I think -- and with respect to the advertising, we probably had a little bit more advertising on air in the early part of the year than we might have initially anticipated. And I think some of that was opportunistic around the new brand, and they are responding. We do expect to be more efficient with our advertising with respect to GRP delivery. So while we're talking about this -- when we talk about the mid-single-digits, we're talking about the spend, dollar spend. We would expect to be much more efficient, and our focus here is to do a tremendous job over the last 2 or 3 years of really getting much higher weight, in terms of GRP increases versus where we would expect on the dollar spend that we've gotten. So you are correct in assuming that while we may be spending mid-single-digits on an overall dollar basis, it is much higher from a GRP standpoint.
David Driscoll - Citigroup Inc: Actually helpful. The only piece that I was also wanting to know, was pricing in the quarter roughly 0? Was it roughly flat?
David West: Yes, it's pretty much flat. I mean, we had a little bit higher trade promotion rate, a small amount. And that's largely a mix factor with the new products coming in and then with Easter later, a much larger portion of seasonal sales in the quarter than the prior year that tends to be on a higher promotional rate. So if you think about it, trade promotion was a little higher on a rate-rate [ph] basis, but it was mostly mix.
David Driscoll - Citigroup Inc: And did you mention any timing related to the $250 million authorization?
David West: No, we did not.
David Driscoll - Citigroup Inc: Can you?
David West: No, we typically don't. We said that we'd be in the market from time-to-time, and that's what we agreed with the board. But we haven't put any definitive timeline on it.
David Driscoll - Citigroup Inc: Okay. Thank you.
David West: Thank you.
Operator: Your next question comes from the line of Bryan Spillane with Bank of America.
Bryan Spillane - BofA Merrill Lynch: Thanks again for the follow-up. Just a quick question in terms of what you're doing now to accommodate retailers in terms of helping them absorb this price increase. I guess, it sounds like you're allowing retailers to buy in a little bit more ahead of time. You're also going to promote a little bit more to help ease the consumer into it. I guess, what I'm trying to get it is or try to understand is just are you doing more -- or what are you doing differently to help accommodate retailers to get this pricing through onto the shelf now maybe than what you're doing in 2008? Are you having to do things differently or accommodate more in order to get the price increase through?
David West: Actually, I wouldn't say we're doing anything differently than we did in 2008. And certainly, we're not promoting more to be clear. But what we are doing is honoring the promotions that we already had in place. And therefore, we'll probably spend a little bit more promotional dollars to make sure that we get to the price points that we had already agreed on with retailers. I mean, each retailer is unique, so we have a different program with them all. And so we would go back now and say, "At higher-priced goods, we want to run the same promotions." So it's not more promotional activity, it's just keeping the promotional activity there, which by the very nature of it will ease the consumer into it because they'll start to see everyday prices higher, but they'll still also be able to ease their way in because they'll still be able to get promoted volumes at a price they're used to. So I think we're not really doing anything really differently. And then we offered an 8-week buy-in, if you will. That's pretty standard. We've done that historically over the years. And that's pretty consistent with our past practices. So nothing new there in terms of what we were doing. And I wanted to follow up on a question. I think, it might have been Rob Moskow might've asked it. I don't know who asked it. Or it might have been yours, Bryan. With respect to the second quarter, we don't want to imply that second quarter volume is going to be down. We're up against a 5% comp a year ago and we'll have a little bit more promotional activity and a little bit of elasticity on the instant consumable part of the business. But I don't want anybody to be walking around thinking that the second quarter is going to be down. That's not -- I mean, we may have misspoken and implied that. I just wanted to clean that up a little.
Bryan Spillane - BofA Merrill Lynch: Okay, that's helpful. Thank you, David.
David West: Okay, Bryan. Thank you.
Operator: At this time, there are no further questions. Presenters, do you have any closing remarks?
Mark Pogharian: Yes, we thank you for joining us for today's conference call. And Matt Miller and myself will be available for any follow-up questions that you may have. Thank you very much.
Operator: Thank you. This concludes today's conference call. You may now disconnect.